Operator: Good afternoon. Thank you for attending the GoPro Fourth Quarter and Fiscal Year 2025 Earnings Call. My name is Cameron, and I'll be your moderator for today. [Operator Instructions]. I would now like to pass the conference over to your host, Robin Stoecker, Director of Corporate Communications with GoPro. You may proceed.
Robin Stoecker: Thank you, Cameron. Good afternoon, and welcome to GoPro's Fourth Quarter and Full Year 2025 Earnings Conference Call. With me today are GoPro's CEO, Nicholas Woodman; and CFO and COO, Brian McGee. Today's agenda will include brief commentary from Nick and Brian, followed by Q&A. For detailed information about our fourth quarter and full year 2025 performance as well as outlook, please read our Q4 and full year 2025 earnings press release and management commentary we posted to the Investor Relations section of GoPro's website. Before I pass the call to Nick, I'd like to remind everybody that our remarks today may include forward-looking statements. Forward-looking statements and all other statements that are not historical facts, are not guarantees of future performance and are subject to a number of risks and uncertainties, which may cause actual results to differ materially. Additionally, any forward-looking statements made today are based on assumptions as of today. This means that results could change at any time, and we do not undertake any obligation to update these statements as a result of new information or future events. To better understand the risks and uncertainties that could cause actual results to differ from our commentary, we refer you to our most recent annual report on Form 10-K for the year ended December 31, 2024, which is on file with the Securities and Exchange Commission and other reports that we may file from time to time with the SEC. Today, we may discuss gross margin, operating expense, net profit and loss, adjusted EBITDA as well as basic and diluted net profit and loss per share in accordance with GAAP and on a non-GAAP basis. A reconciliation of GAAP to non-GAAP operating expenses can be found in the press release that was issued this afternoon, which is posted on the Investor Relations section of our website. Unless otherwise noted, all income statement-related numbers that are discussed in the management commentary and remarks made today other than revenue are non-GAAP. Now I'll turn the call over to GoPro's Founder and CEO, Nicholas Woodman.
Nicholas Woodman: As Robin mentioned, Brian and I will share brief remarks before going into Q&A, and I want to encourage all on the call to read the detailed management commentary we posted on our Investor Relations website. I'd like to begin by congratulating Brian McGee, GoPro's current EVP, CFO and COO, on his appointment to the role of President and COO. In his expanded role as President, Brian will further strengthen company-wide alignment and execution, enabling cross-functional teams to move faster and more cohesively towards our strategic goals. Brian is a very talented and passionate operator with a collaborative approach to problem solving and strategy development. I'm very excited for what GoPro can accomplish with Brian in his new role. I'm also pleased to share that Brian Tratt, GoPro's current VP of Finance, will serve as our CFO. Brian Tratt has served as an integral part of GoPro's finance team for 13 years and has earned the respect and trust of the entire GoPro organization. I'm excited for him to bring his deep understanding of our business and his fresh perspectives to the CFO role, leading our accounting and finance teams. These leadership changes will become effective on March 17. In 2025, we broadened our hardware and software offerings, delivering on the first stage of our mission to diversify our business and expand our TAM. During the year, we launched our new 360 camera, MAX2, delivering the only true 8K video resolution in the consumer 360 camera category, featuring durable twist and go replaceable lenses, trademark GoPro durability and versatility and the new ecosystem of sixteen 360-centric accessories. We also launched our new LIT HERO camera, an ultra-compact lightweight, rugged action and lifestyle camera that has the widest field-of-view lens in its class and an integrated light, enabling captivating photos and video in even no-light, pitch black scenarios. And we launched our new professional-grade gimbal, Fluid Pro AI, a best-in-class multi-camera AI subject tracking gimbal that's compatible with GoPro cameras, smartphones and point and shoot cameras weighing up to 400 grams. In addition, we launched a steady cadence of new software functionality, including new 360 content editing features such as AI-powered subject tracking and cloud-based 360 editing via our Quik mobile app. Additionally, we launched a GoPro Reframe plug-in for da Vinci Resolve, low light denoise enhancements in the GoPro Player desktop app and Apple Projected Media Profile support for the highest fidelity video playback in Apple Vision Pro. And in Q4, we made progress on several strategic initiatives, including GoPro's AI training program and development of our tech-enabled motorcycle helmet with our partner and leading Italian motorcycle helmet brand, AGV. We're pleased to share a meaningful update on our AI training program. We're now working with select AI partners, providing them access to authentic, high-quality GoPro content contributed by U.S. subscribers who opted in to monetize their GoPro cloud-based content for AI model training. We plan to recognize revenue from the program in Q1. And later this year, we'll make our first monetary payouts to participating GoPro subscribers whose content was selected. The program creates value for all stakeholders. All partners gain real-world video to train their models, participating GoPro subscribers earn money through a revenue share and GoPro benefits from a new scalable high-margin revenue stream. Since launching the program in Q3 2025, we've seen strong subscriber enthusiasm with more than 500,000 hours of diverse high-quality video content submitted to date and steady growth as we continue expanding the program to more subscribers globally. We expect to close further agreements with additional third-party licensing partners throughout 2026. Shifting gears, we continue to advance on our tech-enabled motorcycle helmet program, developed jointly in partnership with AGV. Together, GoPro and AGV are leveraging each other's design, engineering and brand strengths to deliver significant innovations that enhance safety, performance and enjoyment for motorcyclists, all wrapped into a helmet design that is simply stunning in every regard. We look forward to providing investors with more substantial updates on this program later this year, and we plan to publicly share a few product teasers in the near future. So stay tuned for that. Turning to recent developments. On February 26, the U.S. International Trade Commission reaffirmed our design patent rights by issuing exclusion and cease-and-desist orders against Insta360, blocking their infringing products from the U.S. market. This decision, combined with the Patent Trial and Appeal Board's rulings last year upholding multiple patents covering our HyperSmooth technology, validates what we've always known. GoPro is built on original innovation. Our patent portfolio now exceeds 1,500 U.S. patents, and we will continue to defend against competitors who choose to copy rather than create. Our commitment to innovation has driven many advancements in digital imaging from the world's far and away best in-camera video stabilization, HyperSmooth, to industry-leading image quality, resolutions and frame rates, best-in-class wide-angle field-of views and more, all in rugged and versatile small form factor cameras. Our custom GP2 processor played an important role in many of these innovations and helped power our flagship cameras to market-leading positions. At the same time, GoPro imposed a few constraints that limited how far we could push our cameras in certain areas of performance, specifically power efficiency, thermal performance and low light use cases. Most notably, GP2's low light constraint hampered GoPro's ability to compete in the fast-growing premium low light capable camera category, a market segment we estimate to have been approximately 2 million to 2.5 million units annually in 2025. Enter GP3, GoPro's soon-to-be-released next-generation processor, which is designed to deliver industry-leading power efficiency, run times and thermal performance, along with best-in-class low-light performance not yet seen in a small form factor cameras or even many professional cameras. As we announced earlier this week, our new exclusive GP3 processor represents the most significant advancement in processing power and image quality in GoPro's history. Whereas GP2 was a 12-nanometer SoC, GP3 is a 5-nanometer SoC that delivers more than 2x the pixel processing power of GP2, resulting in industry-leading resolutions and frame rates that go far beyond what the competition is capable of. GP3 also features a dedicated AI NPU that enables significant gains in low-light image quality when combined with low light image sensors and industry-leading power efficiency and thermal performance that significantly outperforms the competition. To quantify how efficient -- and far ahead, GP3 is in our own internal testing, we are seeing camera run times ranging from 40% to 90% longer than the competition and similarly impressive thermal performance advantages over the competition in addition to demonstrably better image quality. To say that we're fired up about GP3 and the new GP3-based cameras we're launching in Q2 would be an understatement. We expect GP3 to serve as a pivotal growth catalyst for GoPro, setting new performance benchmarks for the digital imaging industry as a whole, enabling GoPro to lead in our existing core markets and gain meaningful share in new, professional product categories, including the quickly growing low-light camera segment, beginning this Q2. I encourage you to visit the news section of GoPro.com to check out several jaw-dropping images captured with one of our soon-to-be-released GP3 cameras. I think you'll agree with me that GoPro is about to enable a new dimension of performance and capability. Operationally speaking, despite ongoing macroeconomic pressures facing the consumer electronics sector, including tariffs and rising memory costs and supply constraints, we are working towards strengthening our operating profile, as Brian will outline, while also advancing our next product cycle with meaningful technological enhancements. We believe we are at the start of a new era of technological and performance leadership for GoPro. With a clear opportunity to grow revenue and operating income as Brian will share in his remarks. We are highly motivated by what's ahead for GoPro and want to thank our employees, suppliers, retail and distribution partners and our shareholders for your support. We're very excited for what's to come. Now I'll turn the call over to Brian.
Brian McGee: Thanks, Nick. Fiscal 2025 improved substantially over 2024 in a number of key areas, including operating expense reductions of $93 million, flat gross margins of 34%, despite a $20 million impact due to IEEPA tariffs, inventory reduction of 35% all culminating in an improvement in cash flow from operations of $104 million. In the fourth quarter of 2025, revenue was $202 million versus our guidance of $220 million, plus or minus $5 million, and we generated positive adjusted EBITDA of $1 million. Cash flow from operations was positive, again, for the third quarter in a row at $16 million, a $41 million improvement year-over-year. Sell-through was at the midpoint of guidance at 625,000 camera units, which resulted in a 30,000 unit decrease in channel inventory. Looking back on the year, notable financial performance highlights include revenue from our retail channel was $482 million or 74% of revenue compared to 75% of 2024 revenue. Revenue from GoPro.com channel, which includes subscription and service revenue was $170 million or 26% of revenue compared to 25% of 2024 revenue. Subscription and service revenue was flat year-over-year at $106 million or 16% of revenue. 2025 street ASP was $357, an 8% improvement year-over-year. Gross margin was 33.8% compared to 34.1% in the prior year despite negative impacts related to IEEPA tariffs of approximately $20 million incurred in 2025. Operating expenses reduced $93 million from $354 million to $261 million, a 26% decrease year-over-year. GAAP and non-GAAP loss per share was $0.59 and $0.30, respectively, compared to prior year loss per share of $2.82 and $2.42, respectively. 2024 GAAP and non-GAAP loss per share were impacted by $1.93 per share due to the establishment of a $295 million tax valuation allowance that was recorded in 2024. Adjusted EBITDA was $29 million -- negative $29 million, compared to negative $72 million in the prior year. Cash flow used in operations was $21 million compared to cash used in operations of $125 million in 2024, a $104 million improvement. Turning to 2026. Our outlook is prefaced by highlighted uncertainty that exists due to volatility in tariff rates, memory pricing, memory availability, consumer confidence, competition, component supply chain and global economic uncertainty. To provide color on our expectations and priorities for the year, we expect revenue to grow in 2026 to a range of $750 million to $800 million or nearly 20%, growth at the midpoint based on our existing lineup of products, the introduction of several new products starting in Q2 and additional AI content licensing this year. We expect subscription and service revenue to grow approximately 10% due to improvements in ARPU growth of 10% and improvements in attach rates and retention rates, which is slightly offset by subscribers projected to be down 7% year-over-year to $2.2 million. We expect operating expenses to be in the range of $220 million to $230 million, down from $261 million in 2025 or a 14% reduction. The anticipated decrease is primarily due to a reduction in litigation expenses, our prior restructuring actions, which resulted in reduced employee-related costs in 2025 and a continued strong focus on expense management. The cumulative effect of our planned actions is expected to result in a reduced operating expense range in 2027 of between $200 million and $210 million. We expect memory price increases, both DRAM and NAND, to impact margin by approximately 500 basis points year-over-year. We expect to have enough memory to meet our unit and revenue goals for 2026. Today, we announced a $50 million financing, of which we closed $25 million. In addition, we amended loan covenants for ABL and debt agreements, the details of which can be found in the 8-K we filed concurrent with today's earnings. We expect our liquidity position to be adequate and we expect to end 2026 with approximately $50 million, plus or minus $5 million in cash, along with an additional $35 million available under our ABL facility and $25 million available under our recent financing agreement. We expect adjusted EBITDA to be in the range of $10 million to $20 million in 2026, an improvement from losses of $29 million in 2025 and $72 million in 2024. Relative to our prior outlook of trailing 12-month adjusted EBITDA of $40 million for 2026, it's worth noting that memory pricing impacted the trailing $40 million EBITDA by $40 million for a total impact of nearly $60 million in 2026. In closing, we believe our strategy is working. We are in the midst of an exciting innovation cycle with the launch of leading products, continued AI content licensing and other services expected over the next several years that we believe will bolster our market position while expanding our TAM. We expect to continue operating expense reduction initiatives in 2026 that we initiated in 2024 to mitigate memory cost increases. We believe we will restore revenue growth and deliver adjusted EBITDA in the range of $10 million to $20 million in 2026. Operator, we're now ready to take questions.
Operator: [Operator Instructions]. The first question comes from the line of Erik Woodring with Morgan Stanley. Well, there are currently no questions registered at this time. [Operator Instructions]. Once again, there are currently no questions registered so as a brief reminder. [Operator Instructions]. There are no questions waiting at this time. I would now like to pass the conference back to the management team for any closing remarks.
Nicholas Woodman: Thank you, operator, and thanks, everybody, for joining today's call. As we shared, we are excited for the year ahead and particularly for this Q2 and the launch of our new GP3-based cameras that we believe will mark a new era of technical and performance leadership for GoPro, which we believe will ultimately result in revenue and profit growth for the company. Be sure to stay tuned to our social channels for product teases and more as we approach the launch of our new products. Thanks again, everyone. This is Team GoPro signing off.
Operator: That concludes today's call, and thank you for your participation, and enjoy the rest of your day.